Operator :
Robert J. Ready: Thank you. Good afternoon everybody. As in prior conference calls our team is here Scott Ready, President of the Lighting Group. David McCauley, President of the Graphics Group, Fred Jalbout President of the Technology Side and Ron Stowell our Chief Financial Officer. Steve Brunker is also here, our CIO, and Steve you have something to relate to the folks as far how this is being recorded and what access they can have this evening, so if you would please??
Steve Brunker: Yes good afternoon everyone and welcome. As with our prior conference calls there are visuals that are going to accompany today's presentation that you can access by visiting our website which is www. lsi-industries.com and clicking on the investor relation's tab. If you're not within a convenient access of the Internet right now you can find our presentation available and replay of today's presentation on the Web site after about 5:00 pm this evening.
Robert J. Ready: Thanks, Steve. As in prior conference calls what I think we would like to do is merely share with you some of the good points. I have had a number of conversations in the past few months and what comes to mind is the Clint Eastwood movie of years past, The Good, The Bad and The Ugly. And when we looked back to '07 and having the greatest year in our history, that being the good part, the bad being obviously the fact that we couldn't repeat those big programs that we were so successful in the roll out the Dairy Queen, the 7-Eleven a certainly a slow back on the Wal-Mart and a pull back on the Chevron and obviously the ugly is the economic conditions that we're all faced with today. However with all that said, I am very confident at the level of our market penetration specifically or especially, I should say, in the tremendous success that we're now experience with the solid state technology which Scott will share with you in a couple of minutes. Obviously the biggest challenge we have is on the graphic side and David will be certainly addressing that and Fred will be bring you up to day a little bit on some of our international direction, that we have actually started to develop a strategic direction and working toward an international presence by using some of our solid state technology. I think that you folks are going to probably have a lot of questions, so our presentation doesn't have a lot of slides, but I'm going to turn the first phase of our discussion over to Scott and he's going to share with you a little bit of the success with the Crossover product line. Scott.
Scott D. Ready: Thank you, Bob. Good afternoon everyone. The short time I am going to speak today I am really going to focus on what we've accomplished so far in our solid state lighting market initiative. And as Bob mentioned the overall strategic directional lighting group remains solid and steadfast and methodically moving forward. Not necessarily the kind of exciting volume that we'd like to share that often we do have the opportunity to share when we connect with major programs. But we certainly do characterize our business right now as steady and strong and growing stronger in some specific areas. But the Crossover marketing plan is certainly the most exciting initiative that we have on the plate today after multiple years, several years now of technology development, testing and evaluation we are bringing to the market products that are proving themselves both from a performance perspective and most importantly from a economic perspective. The goal to establish products that achieve a reasonable ROI with technology that is exciting to say the least has really been accomplished first and foremost in the petroleum market. A year ago we introduced Crossover as a solid state lighting brand and brought forth specific products into the petroleum market for petroleum canopy installations. We sold multiple thousand units now. We've had units in the market place for some time. We've actually accomplished exposure in the market across the United States, Mexico and Canada, as well as overseas. The map that you're looking at here briefly illustrates just some of the locations that are currently installed with the Crossover system. And I am happy to report to having had the system in the market now and in the field for many months the level of excitement is only accelerating. It's a proven system. It's really – it puts LSI in the forefront of lighting manufacturers that have been able to achieve repetitive consistent business now with white solid state lighting. But more so than just the canopy fixture design and what we've achieved so far, we're creating an identity now in the marketplace that even extends beyond the petroleum market. We were awarded a best in class status, if you will, within the petroleum market and' selected as retailer's product choice of the year for 2008. With the innovation of the Crossover design and we're building on that now with the remaining products that we had outlined for this fall both in interior applications and exterior applications. Building on a very strong performance platform and economic platform for multiple market use specifically the commercial, our general commercial industrial lighting application in building lighting and parking garage lighting and other types of multipurpose applications, and last but not least the golden egg at least this year of the market is a successful area light fixture which we'll be will bringing into the market here in November. Certainly the canopy lighting is producing results financially for the company, the rest of these products are built on that same platform and frankly have yet to contribute because they've only been introduced and gone in – and we're currently going into production in the product this second quarter. So the results that we have been able to achieve so far, built on our standard product offering is strong and when combined with what we can accomplish in solid state lighting products it promises to be even stronger. The area light itself is designed on a format to actually penetrate several different market opportunities for LSI. Certainly have strong opportunities in small site, multisite retail, national retail facilities such as the petroleum facilities, such as QSR markets. That combined with the socket lighting that we are introducing for QSR markets will give us the opportunity frankly to penetrate some accounts that we currently do not have and beyond that it's a very scalable format that will address applications up through street lighting in addition to retail exterior site lighting. So the street lighting market will be a new market opportunity for LSI and we're not typically known right now in the utility market and a lower watted street application, but the performance of the product are patented, excuse me patent pending design features from a heat dissipation perspective and a sort of metric optic control perspective, offer frankly the first product to the market that is both aesthetically pleasing and high performance. And this is something as you compare LSI's products to other products currently being introduced into the marketplace will truly differentiate LSI. We've actually finally received, I'm happy to announce, orders, hard orders for some of the early concept projects that we were working on. I know a number of you have heard me discuss bridge lighting and some of the development work we've done with New York City. Again I am very pleased to announce that during the second quarter we will ship lighting to support two major bridges in the New York City marketplace, the George Washington Bridge and the Verrazano Bridge. This only represents the beginning frankly in our opinion to the opportunities that we see just in that New York City market. We continue to work with the same folks that we've been working on – working with for sometime on variety of other applications, but again proving the fact that after two and a half years of constant testing and really strenuous evaluation, LSI technology was selected as the technology of choice for these applications. So combining these together we look at a strong basic performance or steady performance within our niche markets. Actually seen a little bit of growth in the petroleum market again due to the solid-sate lighting influence and a even stronger double digit growth in our commercial marketplace. We’re very excited about what that base provides when we add the solid state lighting products to it over the next six month. Bob.
Robert J. Ready: Thank you, Scott. I would like to add to that if I may before I switch over to David. If the folks that have been on prior conference calls or have attended some of our other conferences throughout the year, we have been very, very straightforward in the commitment and certainly the acknowledgement of how we've approached the solid state white LED market. And I can tell you right now from everything that we've done, and certainly the folks that have seen it and we've had a lot of people come through the image center here in Cincinnati this year to be certainly aware or made aware of what we're doing, and even though it's been a slow process, it's a process that's growing. It's a process that has great interest. It has a tremendous effect on energy reduction, the maintenance levels, the maintenance costs that we've shared with you before are very, very obvious to the markets. The unfortunate part is that we're in a slow down economy but I can tell you from all of the interest that we seem to be gathering in our major markets, this product and the other products that are coming off these designs have tremendous opportunity for the future growth of this company. Scott failed to mention the tremendous opportunity and growth that we have had in the commercial industrial; he said double digit and that is true. In a slow down economy we are starting to see a tremendous improvement in our C&I market penetration with some of the things that we've shared with you in the past. And the bottom line of this is that the seeds that have been planted over the past year, year-and-a-half are really starting to bear fruit. It would be great if the economy was in a stronger mode. Then I personally think we would have seen more revenue dollars, but I think the important thing is that LSI has maintained its true direction, which Ron will talk about in our balance sheet, and I think made all the right investments as it relates to these new products. The disappointment, of course, is in the graphics business and not be negative because David will share some things with you in reference to what we're trying to do in growing that business, but very obviously with LSI's tremendous strength in the retail environment, as you all know this has really had a big effect on not only us but many, many businesses out there. But we've never lost focus and we have full attention to reducing cost where it's appropriate, and obviously putting all the pressure where we have to in order to start developing more market penetration in other areas. And David, I'll turn it over to you if you would please.
David McCauley: Okay, thank you, Bob, and good afternoon to our audience. It was a mediocre type quarter. I know we were north of our goal. Our sales, revenue come in at a little over $25 million. Now that's compared to the first quarter of last year which was slightly more than $42 million, but a very interesting extraction of those figures that I'll relate to you today is that last year the big three at the particular time that had large programs going on in the graphics side of business was Chevron, Dairy Queen, and 7-Eleven, with some lighting components in the 7-Eleven and Chevron. Those three totaled $27 million out of the $42 million, or 64% of the volume. This year that same group, those same three people, contributed slightly less than $4 million, and that would be 15% of the $25 million. What's that tell us? The balance of the big three last year was approximately $15 million; this year other customers other than the big three there, did $21.5 million and that shows a 42% increase. So that's one of the brightest points that we can talk about this quarter is the increase of our current base of customers and adding new customers without any large programs. We had no one close to a 10% declaration of the business for LSI, so we're very pleased to see those numbers. We're making our move into the areas that are strong right now, taking less emphasis on the banking and the auto and putting more emphasis in the restaurant, convenience stores and the like. As far as the economic times, historically we've been very strong in gaining more customers, gaining market share in these tough times and I think that says a lot for LSI and their balance sheet and their ability to weather these type of economic storms. So we think history will continue to repeat itself. In the last six years we've seen three times where graphics has kind of lost the momentum because of lack of strong programs and that's one of those periods now. But again, we've never lost our market share. We've always gained and we feel we'll continue to do that. As far as we talk about being programs and not products and graphics, well, we're coming to a point where at the beginning of the year in January when we have out next earnings call, the graphics is going to introduce two new products, maybe three. If they don't introduce all three in January, that they're going to be introduced in earnings call in April, and they all have something to do with the solid state technology. Again, another benefit from the acquisition of SACO some years back. Now if someone could flip the slides for me, on the screen for those can view, we're going to show you seven projects that were entered into the revenue stream. I'll go through them. I'm not looking at the same screen you are right now; Florida International University, their score board/video board. Next one would be – I'm looking at Ohio State University, the Shottenstein Center, we just installed that large program, a video replay board, circular graphic LED board, and eight smaller boards. At that venue we, of course, do the football field and we have for many years down at Ohio State. Saputo Canadian Soccer League, Penn State University, that is a ribbon board along the end zone. That's a large capacity stadium. I think that seats like 108,000. Minor League Baseball for Savannah, Memorial Field and that's in Bryan, Texas, and that's a high school market that LSI is going to make a lot more waves in. The high school market is like the billboard market. There are going to be a lot of boards sold in the next five years in that market and we're going to try and capture a large market share there. And the last one on the screen would be another Canadian facility, Red Deer facility, and that's a hockey arena but it's used for many other occasions similar to the Ohio State Shottenstein Center. With that said, Bob, I'll bounce it back to you.
Robert J. Ready: Thank you, David. I think the other comments that I'd like to make in reference to the graphics side, it's very, very obvious that when you go through an economic turndown as we're going through now is that the smaller companies, the smaller graphic businesses are really getting hit a lot harder than we are. And time will prove that as the economy does come back, and when that will be I don't think anybody really knows, but when it does with the customer base that we have and the new customer direction that we're earning, history has proven that some of those folks are going to jump back on the wagon and they're going to want their products and their programs immediately. We have made some tremendous cutbacks in overhead, but not cut to the bone. We have definitely skinnied up the company, the graphics part of our business. We're putting all the effort into new business wherever we can to create a larger customer base. Certainly the efforts that are being placed in the visual boards, not as dynamic as everybody would like including myself. We have some formidable competitors out there and they're making it very difficult, obviously, for us to get into that market. But we're taking a step at a time. We're cracking the door open a little bit at a time and we're starting to gain momentum because in all honesty we feel our quality and the type of boards that we are now putting out there are superior to anybody else's. Time will tell. But I can assure you the fact that the tremendous interest that is being developed at many different levels in the market, more and more people are asking more and more questions about LSI and its ability to produce this type of product line, and it's just a matter of time. As a truly market driven company in all the years we've been doing this we understand it, we accept it, we have patience, and we'll do everything we feel is appropriate to penetrate that market as we have done in the past. And with that I'd like to turn if over to Fred because one of the major things that we have now in our sights is the international market and, Fred, please, if you would give us a quick update on that I'd appreciate it.
Fred Jalbout: Yes. In regards to the development of the new product and the solid state lighting, we thought about expanding out market overseas. And we did some very good investigation in regards to the market in Europe and Middle East, and we find that this market is a huge market for our product. We put the packaging in place in the beginning of it, so we don't have really much detail on it yet because we're still investigating the way to approach this market and put a business plan together to attack it in the right way. But we have made many meetings. In the strategy that we started we thought the best way to start it is to start meeting with consulting engineers and designers overseas in Europe and Middle East, presenting LSI product with all the new technology we have. One thing, we had feedback from all those consulting, they were very impressed with the company as a company because we find our self more and more as a unique company who are able to present to them and offer to them not only one product, multi products that fits into the same application. Especially when we met with many of the designers, they find LSI is a unique company that can offer solid state lighting, lighting solution, billboard, advertising board, menu board, so this actually is a very positive thing for LSI. We actually just did many other places as well our product can be sold to, and the client finds our solid state lighting is very unique, very stable. We are in the process of doing some prototyping and some units actually to be installed at those locations for the future application. All that I can say right now the future is very promising for Europe and Middle East. Applications, they are very many. Just what we have to do is making the strategies vary for the strategy, and how to support our product when we sell it to those areas. Again, we are in discussion with many companies in every country to try to create some kind of a partnership with them since they know the market very well and they are able to support the product after being installed. And this will actually save on LSI from having technicians and engineers located in every country. And we believe that this will be the best strategy and we are in discussion with many companies that are in the field, and we believe that this strategy will work very fine and it will be a great future for LSI. That's how much we can talk about it today, but in the near future as soon as we have the full strategy in place I think we will be explaining it in more detail.
Robert J. Ready: Thank you, Fred. To clarify some of that I can only point to the success that we've had in that strategy in the Australian market by, as Fred had indicated, is finding the right support and the right service capability in that market. And we did that a few years ago in the Australian market. And through the success of that, which has been a growing market for us, we learned a lot and we're going to apply what we have learned on a stronger international direction. The other thing to remember is that the energy costs in Europe are considerably higher than ours. Some of the folks that I have visited with that have been to LSI, Cincinnati from Europe and looking at our products, I've heard numbers of anywhere from $0.22 to $0.23 per kilowatt-hour. Obviously, the ROI for them with products like we are now introducing obviously fit their needs, and fit them very, very well. It's also important to realize that the products that we are selecting to develop are very high volume potential market products – the parking garage, soffit lighting, canopy lighting, area lighting, street lighting. All of those areas of those markets are all potentially high volume. All obviously are concerned about energy costs. And the most important part of the design features is the fact that we've taken an approach to go after those markets as a retrofit market rather than new construction. We have no idea what's going to happen in the next few months as it relates to building or any kind of that direction, but we do know that as these energy costs become more obvious in cost, then the maintenance opportunities with solid state are fitting right into our marketing strategy where we put all out efforts into design and certainly our marketing and sales approach. It also is great to know that since we're doing our own designs and working with our own internal capability, that we have a number patents pending on both mechanical as well as design features of these products. That is relatively new for LSI as compared to prior years with basically standard fixtures that are in the marketplace with fluorescent or HID. So as we look at the overall direction of both the lighting, the graphics and the technology, we are definitely poised to make the moves when that market really improves. And last but not least, Ron's going to touch a little bit on the financial side because I can commit to you, our shareholders our investors, that one of the most important directions that are in place here at LSI is to keep that strong balance sheet in place. That is absolute and we will continue to do so. I believe that that ingredient is extremely important in rolling out the higher volume potential for the future.
Ronald S. Stowell: I will refer everybody to our Safe Harbor statements as always that are in our 10-K and 10-Qs and indicate that today we have no material nonpublic information that will be discussed. I want to let you know that all of our financial measures, but even beyond that all of the management of the company and employees of the company have a financial focus and we're very strong on that now and I've got just four bullets up here that indicate the areas that we are focusing on. First is keeping our costs down and whether that's cost avoidance, cost elimination, elimination of waste, we are working very, very hard to do that. And in that area we have had some commodity price increases in the first quarter that we now see a little bit of daylight and we see a little bit of softening that should occur for us in the second quarter, talking about steel, aluminum, etc. Another area of focus for us, as Bob said keeping that balance sheet nice and strong, is our accounts receivable and we are working very hard on that both through the quality of the aging of the receivables and the DSOs, which as you'll see the 10-Q when it comes out, we are in the mid 50's. We did come up a couple days from June but we are in very good shape with, we actually have a couple large payments coming in in early October. Let me go back to receivables, you will see when the rest of the information is available that our receivables did go up almost $8 million, but that's reflective of that slight modest increase in DSOs but also higher sales in our first quarter of 2009 versus the fourth quarter of fiscal '08. Inventory's another area of focus, making sure we've got enough stock to satisfy the orders but yet not too much invested and just managing that, and we saw a reduction of about $3 million in the first quarter of fiscal '09 so that's good and most of that reduction was in our graphics segment. Lastly, debt, you would have noted on the press release that we had debt of about $1.3 million at September 30th. I can say that that was drawn on our domestic line of credit. That was the first draw we've had on that line since April of '07, and today that's paid off. So we are to date debt free, but we are managing that balance sheet strongly, very conservatively and we had indicated to us by our bankers and customers and suppliers alike that that's a very good hallmark trait for LSI to maintain and we are certainly doing that. Along those lines and I will not have the extensive financial information that I normally have during this call. That will be available later today on our website, but I did keep some information on the balance sheet up here. You see a little bit of a reduction in cash from June 30th. Our sales line is higher. We are investing more in receivables at that present time, as you see in the reduction in inventory. Good strong working capital $75.4 million and the debt of $1.3 million which gives us a very, very low debt to equity ratio. Finally as indicated in the press release, we have chosen to maintain the guidance that was issued for fiscal '09. We still see, even though we were up on a diluted earnings per share basis from what the Street estimates might have been, we still see ourselves being in this range of EPS of 29 to 36. It's a range that it's a conservative estimate, and with the uncertainty that's out there in our customers' marketplace we felt it's very, very prudent to maintain the guidance that we have and in sales in the $290 to $310 million range. Bob, back to you.
Robert J. Ready: I would like to address that last item. The guidance that we are looking at as most of you realize our backlog is no more than four to six weeks out but it's very, very difficult to look beyond that, especially when you don’t have any big rollout programs as we have had in the past. I felt it was in the best interest for our shareholders, our investors, that we maintain the same guidance that we put out but understand that a tremendous effort is in place to crack certain areas of the market and certainly the attention that we are paying on this solid state and some of that could turn into a high revenue dollar but only time will tell based on the way this economy is set up. The rule of the road right now is maintain a conservative direction, put all the pressures in the right place to run our business properly and financially strong, to maintain market share and grow it where possible, and last but not least, to put a tremendous effort, and I mean a tremendous effort throughout the country, on our sales effort. We have not held back on travel or getting in the face of our customers. As a matter of fact, the edict that's out there right now is everybody that's associated with sales and marketing is to be on the road, making the calls, making the contacts, developing the opportunity to open up new doors because LSI is a very strong company. We don’t have debt. We don’t have to worry about borrowing money to keep our business going. We could run our business the same way we've run it for all the years that we've been in business. Even though these are more difficult times, more so than ever that I have experienced in my 45-year career, but this is something that we can handle and we're very, very straight on a straight direction to maintain that. Obviously last but not least, LSI is a very strong leverage volume company and you can see the changes that came about especially in the graphics and I can tell you the graphics guys know more than anybody that they've got a long hard road ahead of them. But this is the direction that I believe that we can not only improve on but also open up doors of opportunity because of what may be happening with our competitors. My last comment because I know there's going to be a question about the acquisition. The acquisition is still a very important part of our direction, but based on the evaluation and what's happened in the market and certainly the overall dropping of the economy, we evaluated that acquisition that hadn't gone through. We were in the final stages of our due diligence. We still have dialogue with that company. We still feel it's a strong part of our future and we are working to develop maybe a little different approach on the acquisition. It's not dead but we wanted you to be aware of the fact that it had slowed down because of the re-evaluation that we took based on the market conditions and what was going on in the economy. It was a prudent thing to do and it was the right thing to do because I did not want to load up our balance sheet with a lot of debt in an economy that we really can't look into the future and really put our hands on what truly is going to come about. So I think it was the right thing to do. With that I would like to open it up for Q&A and be happy to answer any questions that you folks may have. Please open up if you would.
Operator: Your first question comes from Glenn Wortman - Sidoti & Company, LLC.
Glenn Wortman - Sidoti & Company, LLC: Can you just shed a little light on the sequential drop in the SG&A expense?
Ronald Sowell: SG&A is part of the reductions that we have incurred. We have some I think favorable changes related to some of the operating expenses and I think I do not have that with me here, but it's going to be in the – I do not have it, Glenn. I won't suspect to guess. It's a bad debt reserve, it's less legal expenses and actually our sales commissions are up from the first quarter, well I'm comparing the prior year, sorry. I do not have a sequential comparison.
Glenn Wortman - Sidoti & Company, LLC: As far as just the breakout within the graphics segment, the guys you talked about –
Robert J. Ready: Excuse me, Glenn, one of the things that we recorded in the fourth quarter certainly was our settlement offer for the menu board patent litigation and that was $2.8 million in the fourth quarter, so put that into your thinking in terms of looking at that sequential drop in SG&A.
Glenn Wortman - Sidoti & Company, LLC: Just with respect to just the breakout of the revenue within graphics, can you maybe shed a little light on how much of that came from the sports boards and how much came from maybe the more recurring everyday types graphics business.
Robert J. Ready: Sure, David I think you've got that number.
David W. McCauley: Yes I do, of the approximate $25 million in revenue $4.5 million was in the board business. That would be mostly sports boards and that does not include, excuse me and entertainment $4.5 million up $25 million.
Glenn Wortman - Sidoti & Company, LLC: How does that compare to say the previous quarter?
David W. McCauley: The previous a year ago quarter?
Glenn Wortman - Sidoti & Company, LLC: The quarter that just passed, I guess both if you have it.
Robert J. Ready: The fourth quarter.
David W. McCauley: I don't have the fourth quarter figures. I know our sales in the fourth quarter last year were in the $18 million range so we went from $18 million to $25 million, but I'd have to take a guess at it. It's in the million dollar range.
Robert J. Ready: The fourth quarter was really the beginning of some of the things that we are doing in that sports package. We had a couple of small areas or small products or small orders I should say. The growth has really come about as a result of all the effort that's put in place and the calls that are being made and now people recognizing the product as it is that I hope to see that continue to grow.
Glenn Wortman - Sidoti & Company, LLC: Also just talking about the C&I lighting business which grew 16% year-over-year, what are you baking into your forecasts for fiscal '09 and how it relates to your overall revenue guidance for that particular market?
David W. McCauley: The forecast would be very consistent to what kind of performance we've seen so far, Glenn. Certainly proceeding with caution based on what the overall economic condition will do. As you know we are not as sensitive on the residential, we're not sensitive really at all in the residential side. And we certainly are sensitive to new build construction in the general commercial market space and certainly are sensitive on the retail side based on project schedules as projected through our major national account business. But our current guidance, I think, takes all of that into consideration and we expect to continue to see the type of performance that we've been able to exhibit in a general fashion through the first quarter.
Robert J. Ready: I'd like to add to that, Glenn. I think that it's very, very obvious that we're taking a conservative approach as it relates to some of these new products. Understand the fact that the petroleum canopy fixture was the first attempt to really legitimize, and I say that on the basis of having people understand what this product can really do. There's a tremendous amount of new selling as it relates to helping our market, our customer understand the difference between HID fixtures and this new LED solid state technology, and I think we did the right thing by peppering the U.S. with the oil industry getting a number of fixtures out there for folks to really see what this product can do and if you remember our marketing strategy it's seeing is believing, and it really is starting to work. It's very difficult to tie in a great deal of forecasts on these new products that are rolling out. We just don’t know where the market will be because it is so new and really very, very limited product out there. The parking garage is a good example, the area lights, all of these things are very, very new so we took the conservative approach and really haven't built in a big forecast. We hope we are going to be surprised as we are being surprised with the acceptance of the canopy fixture. The market has embraced it. Certainly that award that was given to us enhances the fact that the product works. So I think next quarter we'll have a little better feel as these new products are finding their way into our reps hands, samples are being shipped and these guys will be making sales calls on the prospective markets.
Operator: The next question comes from Josh Baribeau – Canaccord Adams.
Josh Baribeau - Canaccord Adams: Just a couple of questions here, you mentioned the $4.5 million in the graphics business was the digital boards and some entertainment. Was that just the seven that we saw, was it more, was it less in the slide projection that was.
Scott D. Ready: Yes, it was slightly more. We didn't show you any entertainment pictures today. So I guess you can call it about ten projects.
Josh Baribeau - Canaccord Adams: Over to the lighting side, I know Scott was mentioning that you sold in the thousands of the Crossover units. Can you break that down a little bit more similar how you broke down the graphics business, how much is traditional and how much is solid state in the lighting?
Robert J. Ready: I prefer not to give that information. We have competitors online. I can only tell you that where we are with that product is market acceptance. It's all niche market oriented and by the slide that we showed you where those locations are all over the United States gives us an opportunity to share that appearance with many, many other customers and that's the way our reps are approaching it.
Josh Baribeau - Canaccord Adams: On the balance sheet, it looks like you burnt about $5 million in the quarter. You've got about $2 million left, or you had $2 million at the end of September, and if I do my math correctly, it looks like the dividend is going to be about $1 million of that $2 million. Are there any thoughts about reducing the dividend policy or considerations because you did mention that you want to keep the balance sheet very strong?
Robert J. Ready: The Board did address the dividend policy in August in our year end meeting, kept the policy the same. That's what resulted in the reduction of the quarterly dividend to $0.05 so that is the direction that we're heading and we're comfortable with that. We wouldn’t ever use the term burnt but we have, as I mentioned, investments and receivables in increase there of about $8 million in this first quarter as our sales have gone up to $75 million from I think about $65 or $66 million in the fourth quarter of '08.
Josh Baribeau - Canaccord Adams: If I remember correctly the impairment last quarter for the acquisition was somewhat based on stock price and the fact that the stock was used for the acquisition. Is there a risk as we go forward of further impairments given that the stock has actually come down a bit since those levels or are we looking at that the wrong way?
Robert J. Ready: No, your thinking is correct and we've looked at that. The lowering of the stock prices is a potential triggering event for this evaluation and actually at the September 30th mark our stock price had increased from what it had been no June 30th. Obviously we're down from that now. As we go forward we do have that potential of having a triggering event and having to evaluate the goodwill that remains on our books which is at about three or four reporting units totaling about $15 million.
Operator: The next question comes from Jim Ricchiuti – Needham & Company
James Ricchiuti – Needham & Company: I was wondering if you might be able to help us with the volume that you're doing currently in LED lighting. Is there a way to just kind of aggregate what you've sold and just give us a sense as to what percent of the lighting products business it represents?
Robert J. Ready: You're putting me on the spot with that one, Jim, on the basis of big ears that are out there. Jim, I'm really reluctant to tell the market what the volume is at this point. I can only tell you by units at this point that we have multiple thousands of units in the market. It really is just the beginning of the prototype testing where we've got a big push on now on the parking garage as our next market. Obviously the product has been well embraced in the petroleum industry, but to give you dollars at this point I'm really reluctant to put that out as information.
James Ricchiuti – Needham & Company: I guess the point being, Bob, there are companies out there that are very much focused on this market and are certainly getting a pretty good valuation in the market even with the pullback in the overall market. And to the extent that investors can begin to better appreciate what you're doing there, I think it's something that would be interesting to track but maybe as time goes on you'll consider breaking that out.
Robert J. Ready: I think it's a little bit early yet and I do appreciate your comment. We do track it as you can appreciate extremely strongly as it would relate to where they're going and how they're going. We could give you a better dollar value. I think give us another quarter to see all this. What we're really striving to do now is get our name in that marketplace so people are looking at us rather than anybody else.
James Ricchiuti – Needham & Company: Scott, a question for you just with respect to the two bridge projects in New York that you alluded to. Can you help us understand what exactly this involves? Is this a portion of the bridge where they're evaluating this or can you give us any further flavor on that?
Scott D. Ready: Yes, Jim why I mentioned it and really why I break it out in the conversation is because it's a milestone from the prospective that we have gone through an extensive amount of prototyping and testing in that particular program. And there's obviously a lot of conversation in the industry and specifically a lot of conversation in New York City about contemplated applications where they're look at solid state lighting, and what really I think differentiates what we're saying today from that conversation is the fact that we've gone through all of that. We have gone through really exhaustive testing and field evaluation and have moved into now a regular business mode and so what we're really talking about today, Jim, are just regular every day orders. The evaluation is complete. The testing has been validated and frankly they're ready to start buying and installing complete systems on those bridges to highlight what we call the necklace light application, which is the decorative lighting that moves along the cables at the top of the bridges. So what's exciting for us is really the looking back at how long we have gone through that evaluation and that we have successfully engineered a system that has proven itself over two-and-a-half years in the field and is now accepted as a standard product and something of good value for the buyer.
James Ricchiuti – Needham & Company: So the product has been accepted, the customer has not yet formerly placed an order, because I would guess these are fairly large bridges this is something I would assume you would announce as part of a contract, correct?
Scott D. Ready: The timing of the release and announcements and so forth is something that I'm sure we will evaluate here, but no, we have received orders.
Robert J. Ready: Orders are in placed now, Jim, and it's exciting to the fact that the first few bridges that will be doing this obviously will be prototypes for the entire United States as it relates to this evaluation of two-and-a-half years, and if you could appreciate the fact of the vibration and all the things that go on with a bridge, especially a cable system, we've weathered all of that. And to my knowledge, we're the only approved product out there that can do this kind of work.
Scott D. Ready: I think you will see some public releases from the New York City side shortly, but due to the sensitivity of their requirements, we want to coordinate ourselves with them as well, so.
James Ricchiuti – Needham & Company: Just so I'm clear, is it a portion of the necklace lighting that are going on these two bridges?
Scott D. Ready: No, sir, it's a complete system of necklace lighting for both bridges.
Robert J. Ready: In other words, all the cable.
Scott D. Ready: All the lighting that's required to replace their current necklace lighting for those two bridges.
Robert D. Ready: The prototype testing is over.
James Ricchiuti – Needham & Company: And if I may, one more question and David, I'll put this to you and I apologize if someone may have asked this already, but I wanted to just go back to a customer that historically has been a major customer, and that I'm sure most folks are aware has made a fairly significant or in the process of making a fairly significant acquisition on the West Coast of a drug store chain. Do you see potential over the next six to nine months of potential orders from that customer?
David W. McCauley: We sure do and no, we don't have an order in hand, but all their acquisitions we've been very involved with, and we would expect that to hit our revenue stream assuming we get the order in the third and fourth quarter of '09 third and fourth quarter of fiscal '09, excuse me.
Operator: Your next question comes from Lenny Bracken - Bracken Capital.
Lenny Bracken - Bracken Capital: Guys, can you just review what percentage of your cost is related to your steel or other commodities?
Robert J. Ready: I'm sorry, what percentage of costs –
Unidentified Corporate Participant: Cost of sales, yes.
Robert J. Ready: I guess we can. We don't have that right at our fingertips.
Unidentified Corporate Participant: I do not have that.
Robert J. Ready: Right at our fingertips.
Unidentified Corporate Participant: No.
Robert J. Ready: The important thing about this, Lenny, is that in this quarter, the past quarter that we're reporting, we have obviously absorbed the price increases that were put into effect prior to that quarter. What we're seeing now is definitely a direction where our metal costs are appearing to start to come down on the copper side as well the steel side. We're in negotiations now, our purchasing group, in order to finalize what those costs will be, as we are looking into the future. But I can't right today, tell you exactly what those costs are as it relates to the entire product line.
Lenny Bracken - Bracken Capital: Yes, if maybe Ron can dig that up at some future point, I'd appreciate it. Just one follow-up. Can you just review, in terms of the Crossover, what the sequential growth in the product line was, either in units of revenue or just some idea of what, on a percentage basis, and where it may go this quarter, if you want to venture to guess?
Robert J. Ready: Go ahead, if you want to.
David McCauley: Well, what I would do, I think, is frame for you a reference of when production actually started. Specifically most of what we've accomplished in revenue addition has come during the latter part of the fourth quarter and the remaining part or the entire part of the first quarter. We weren't really in full production, a canopy fixture system, until actually March and April of 2008. So, you can appreciate, I think, that the progress that we've made in penetrating the market in that short time, is certainly the starting point. The products that I introduced to you today will all be entering production during the second quarter, and we expect a typical ramp-up timeframe with any new product deduction or introduction during that second and third quarter. Of course, we're going into the winter month for the third quarter; many of our products, as I've discussed with you this morning, are exterior products and that certainly will have an impact. So, again, as Bob had said before, we are being very conservative about out forecast. We certainly are building our primary business plan on the day-to-day existing technology business and are very happy with our growth and our progress there, and frankly view this as addition to that, for the most part.
Robert J. Ready: It's also important to remember that there's been a great shift in the ownership of service stations in this country. We've seen the major oil companies unload a lot of their company-owned stores into the independent jobber market. We've got a great sales force throughout the U.S. and that's where we've done a great deal of the sales effort, because these are the guys that are paying the energy bills. But you have to appreciate the fact that as this goes on these guys have to fully understand what the true results are for this great investment. Remember, this fixture is more than double what they're used to paying on the old Scottsdale product line and the ROI on this product is obviously geared directly to that energy and maintenance. And with the approach that we took to limit the amount of fixtures that were available to the agents, each agent out there had an allocation by market. We wanted to get them all over the United States. Also remember, that as we were working on the introduction, we had developed this utilizing the Philips LED light chip. And at the eleventh hour, Philips approached us and said they had a quality issue, which they did, and pulled back every LED chip. We were literally on the area of production. That set us back a couple of months as it related to going through the testing process and setting up multiple suppliers. All that has been done now; all of our units now have been designed and tested, and are in a mode that we can accept multiple white LED suppliers which was not the case at the beginning. So the results of the prototyping are now well in hand, enough so that people are now starting to reorder and as time goes on, then we'll get a better feel for what that unit volume will be. We went through this same process in the mid-90s, when the Scottsdale was introduced, and that fixture was double the price of the standard canopy fixture in those days. We've got a lot of history, a lot of experience, and we feel that we're right on target with this. Now, understand the fact with the economy being the way it is, that's the conservatism that we put in there because we can't really read the cards on where the money's going to come from in these markets. I think I mentioned this before, but to give you maybe a one last glimpse of the kind of impact, and I know that's what you're searching for, is what kind of impact is this making on our business right now. The first quarter was the – is the first time that we've seen an increase in comparable volume in the petroleum market now for many quarters looking backwards. And that certainly is the result of the influence of solid state lighting.
Lenny Bracken - Bracken Capital: Guys, I'm just curious, the reason why I'm trying to get the trajectory is the current situation is such that of surprise that it actually did do that, and I'm just wondering whether it was just a function of the customers getting comfortable with the product, or something else that we're missing so that we could sort of – I can get an idea of maybe predicting where we're going. That's why I–
David McCauley: Well, it's a vague – it's a very complicated market and I don't think that there's any one event or any one influence that we can use to develop a projection and a metric. You take something as simple as the price of the barrel of oil right now. Certainly, credit is an issue and a problem in this market – in the petroleum market, but as fuel prices come down, typically the lag that follows to the retail site, gives them an opportunity to make more money than they've made in quite a long time. Certainly, it's a challenge as the price of fuel goes up. We lived through that through the first quarter, and still found very, very interested buyers. As we move into the second quarter, something as simple as where the price of oil is on a barrel perspective and how that translates into the retail place of fuel, could have a significant impact on where these customers have flexibility from a capital expenditure perspective and are willing to invest. So it is many other factors that could influence this.
Robert J. Ready : So the other thing that's added to this is the government has mandated by February, all metal halide lamps that are non-pulse start are going to be eliminated from the – obviously from the market. Now, there's this – I'm sure there's a sizable amount of fixtures out that still have the non-pulse start HID light source. Obviously, that's an awareness of where a potential is for that market to grow or that product to go over to Crossover. But obviously last, but not least, the two elements that are really driving this are energy and maintenance costs. And that's the whole marketing solution as it relates to the cost of ownership of lighting. When you're looking at reducing the normal sized canopy that we understand today some 86%, that's a tremendous driver for the interest of these guys.
Operator: Your next question comes from Peter Lisnic – Robert W. Baird
Peter Lisnic – Robert W. Baird:
, : What I’m wondering is has the market or have fundamentals deteriorated and how are you capturing that risk? In other words, should we be worried about downside risk to your numbers, given the duration and macro that we're seeing pretty much every day?
Robert J. Ready: Well Peter, like I said before, in the 45 years I've been doing this, I've never seen an economy quite like it is in an election year. And when we sit down and try to give you guidance, we've always taken the conservative approach. Is there a downside? Of course. If the total economy tanks, we go into a complete depression, who knows what's going to happen. I think what we're saying to you is that we have spent a great deal of time getting our product line ready, regardless of where the economy was. We're obviously very, very attuned to the commercial industrial market now with the products that we've added. We certainly have done a great deal of work on the graphic side. We've build a great customer base. We've got a tremendous image of our own with these big customers. Certainly, with the awards – I've been told that Dairy Queen is giving us Vendor of the Year award, which they don't normally give to a product manufacturer; that's usually a food supplier. There's just a number of things that make us feel confident that the numbers that we're putting out there are very doable. Obviously, there are things that we feel we can improve upon. Certainly the efforts that we're putting in on the digital boards or the visual boards, the sports and the stadium, the success of the items that are out there and people are beginning to see them; the tremendous effort that we're putting in the field with our agents to work on that market penetration. And LSI has never been a company that really has grown its business on new construction. It's always been market penetration. It's always taken a little bit from this guy and little bit from that guy. I’m talking about competitors. And we know how to do that well. So, is there a downside? I think in today's economy, there certainly is a downside. On the plus side, there've been so many things have been in place, that we feel that we can certainly hit those numbers. And it's my hope that we'll exceed those numbers, and that comes with an effort that we're going to apply to the international market, which we have never been into. So there's great opportunity there, especially with a proven product, like the Crossover brand, in a market that had $0.22, $0.23 cents per kilowatt hour. Their ROI, as it relates to the price of that product, is far better than here in the – in our own backyard.
Peter Lisnic – Robert W. Baird: Thank you for that color. If I could just follow up with a second question, sort of also big picture, in terms of the competitive environment is what it is given the macro, but what I'm wondering is, do you see other competitors becoming more aggressive and trying to nip at your heels in some of these markets where you do have sort of an early mover or competitive advantage? And do you see – do you think your advantage has maybe diminished at all, given all the attention that people are paying to things like solid state lighting?
Robert J. Ready: I would have coin that phrase and saying it's almost a free-for-all out there with the economy being the way it is. However, with that said, with what we've done, the approach that we have taken, owning our own solid state development, the investment we made with the SACO Company and the patents pending that we've applied for our products. The lighting industry is a very – taking the lighting industry as one element is obviously, a very, very knock-off type industry. But we do and have, done the best we can to protect all of the development and the type of products that we have. For example, you saw some pictures of an area light. That's the first area light that I am aware of that, certainly in the U.S., maybe worldwide, where we haven't had to use fins in order to take the heat out of the product. Working with solid state and heat dissipation has been a tremendous challenge for the entire industry. We set out to design fixtures where we could dissipate the heat, without the use of fins. As a matter of fact, the comments around here are fins for fish, not for light fixtures. Fins are designed into these fixtures for heat dissipation, but architecturally, they're not really the type of design that you would like to have in a lighting fixture. We have mastered the way to dissipate heat that to my knowledge, nobody has been able to do without the use of fins. And we think that that's a tremendous architectural advantage. Certainly the architects that we've already shown it too, who have given us a tremendous, positive direction, that this is the kind of thing that they want to see come in solid state. The other thing that we've done is designing the ability to reflect white LED light through the use of reflector designs, not in the optics of the white LED chip. And what does that mean? That means that, again, we've taken the approach, as a market-driven company, to develop products that fit that market; not a generic product as we've had to use in all the years in the past. And these are why we feel that as this technology becomes more acceptable, more understandable and certainly through the sales effort, that we do have an advantage on our competition. But only time will tell, because this solid state technology, it's so new and there are a lot of folks out there that want it, but to be quite honest with you, really don't understand it yet. So we're going through an education process, a development process, a marketing process, and I think that our approach, based on the success of the first step, which was the introduction of the Crossover as a culture and our first market being the petroleum, has given us that competitive advantage.
Peter Lisnic – Robert W. Baird: Excellent that is very helpful.
Operator: Your next question comes from [Jim Stones].
[Jim Stones]: Congratulations, folks, on beating the Street estimates.
Robert J. Ready: As low as the results were, we are happy with that.
[Jim Stones]: A number of questions I've got here. Could you give us a shape of what you're looking at for the year? Are you looking relatively flat-ish quarters? You're looking for a hook at the end? What sort of shape are you looking for?
Robert J. Ready: Well, we don't really give guidance by quarters, [Jim], because it's too difficult to try to pin that down, especially without any kind of a big rollout program. I think our guidance is pretty straightforward, based on what we've given as an estimate and I don't know that I can really expound beyond that, to be honest with you.
[Jim Stones]: Looking for what's happening in the large signs, are you running into the Daktronics? Are you in their market? Are you not in their market?
Robert J. Ready: Well, to be quite frank with you, we're in their market. I'll give them credit. They're a formidable competitor, but I've been there before and all the years that we've been doing this, we are slowly cracking the egg and it's going to take a little bit longer than what we had hoped to see. We certainly have seen somewhat of a change in the billboard market, based on what the results have been with Clear Channel and Lamar, certainly from their stock standpoint as well. But you know there's an opportunity out there for an LSI and certainly, obviously, Daktronics. We believe that our technology has a little bit of an advance on them. We certainly have a marketing strategy and we’re trying to develop a selling direction through our reps that have multiple contacts in multiple markets. And it’s really people dealing with people. It’s exposure; it’s getting the name out; it’s getting the product out and if it takes us a little bit longer we’re going to do it, we’re not giving up. We’re going to come at it and we’re going to keep coming at it. It’s an opportunity to take our technology and improve that technology with our SACO investment. And it’s just like anything else we’ve done over the period of time we’ve been in business, it's really focused on the market, developing the product and going after it. And that’s exactly how we’re approaching this billboard or this visual advertising market as we call it.
[Jim Stones]: When you get down to short list with them have you been able to beat them and if so what have been the reasons?
Robert J. Ready: Well we’re not trying to beat them. I don’t know that you can say that you can beat them. What we’re trying to do is certainly attract that customer to a product that we believe has some advantages. They certainly have the size. They certainly have the market penetration, but again as I said, I’ve been there before with all the different things that we’ve done and there is market out there. And there is an opportunity especially with LSI’s reputation. It's financial strength. It’s coverage of the market. It’s a new product for us, and it’s a product that we understand that there is competition out there that has a stronger market share than we do. But that does not take away from the effort and it won’t take away from the effort. We’re in it to stay, and we’re going to come at them and we’re going to come at anybody else for that matter.
[Jim Stones]: You didn’t mention anything about billboards in the conference call could you tell us what’s happening in that market?
Robert J. Ready: Well like I said we have some efforts in place, I’m hoping that in the next month or two we’ll be able to announce a few more billboards added to the package. Thus far those orders have not been placed. The efforts are in place, the people that are, we are talking to, we’re not going to get into specific names obviously, but again that is only one part of the product. There’s the sports market that we talked about, certainly the billboard market is there, all the other things that we are ready for now. Our production facility is in place, to go after that business. I mean I should say to provide that product as we go after that business. The training is in process as it relates to the people that we are putting into the field to do that. So it, like anything else we’re going to approach it one step at a time, do it right the first time. I don’t want to make any mistakes. I want LSI’s name on those boards and I want people to recognize the ability that LSI has to provide this kind of product.
[Jim Stones]: When you first introduced the product, and I keep forgetting its name, it’s the one where you plug the pieces together and gives you all the background lighting for a show. You had commented that somebody had come in to look at it and on the spot ordered it and I wondered.
Robert J. Ready: That’s the entertainment business and that’s on tour right now, Bon Jovi, Fred, you might add to that Bon Jovi, Metallica.
Fred Jalbout: Madonna, the biggest show now is everywhere in North America.
[Jim Stones]: So Madonna was the customer?
Fred Jalbout: Yes.
Robert J. Ready: Well Madonna, I think Fred if I’m not, if I’m correct, what happens with a product like that they service a group takes that product and provide it to the entertainer, is that correct?
Fred Jalbout: That’s right. [Inaudible] company because it’s a multi-light system; they buy the quantity and then they can make any shape, depends what the artist want to have on his stage. And like on Madonna there is three different products being used and they are all from LSI SACO.
[Jim Stones]: That’s a great endorsement and I wish you could get her permission to put out a press release on it.
Robert J. Ready: Well you know where we’re going with that [Jim] is the important thing of course is the fact that we have the product and we have, we are making the penetration. But more importantly to me is the technology that is being derived from that and really being applied to some of our other products. I think that, too, is another uniqueness to LSI in that we have the ability to move a lot of this technology into multiple markets. But whether it be lighting or even in the graphics and certainly in the entertainment which is really truly part of the sports package; we kind of put that all in the same box so to speak. But that's what is so encouraging about our opportunity. We’re not the biggest. We have nowhere else to go but up. It’s a market that we’re going after. We’ve got the technology, we’ve got the production, we’ve got the balance sheet, we’ve got the people and it’s just a matter of time. And one step at a time and I keep repeating myself, but that’s the way this company has been built, one step at a time. And there’s no reason to feel that we can’t take that one step at a time and slowly build that product. My hope was that the market was bigger and the capacity was limited that we’d see that happen quicker. Bu it didn’t happen, and it’s not discouraging me, it just makes me want to work a little bit harder and push a little harder to get into that market.
[Jim Stones]: As I’m sure you’re aware New York has passed a law that if you’re more than 10 restaurants you got to put the calories on it, on the billboard, and I’m wondering if that’s opening up any opportunities for you?
Robert J. Ready: Yes well at this point we’re really not going to share with you any of the new product ideas for the future. But obviously you knowing our company as well as you do, repeating myself once more, we’re a market driven company. certainly well invested, in the marketing direction of the fast food industry. We are certainly aware of all that. And at some point in time who knows you might see something like that from us.
[Jim Stones]: Okay, but you are in there looking at that business I would assume?
Robert J. Ready: Right now [Jim] we’re looking at anything and everything that fits the LSI image. That I can assure you of.
[Jim Stones]: And on the bridges can you give us some feel? Because I don’t know how big the breadbasket is, what the dollar amount might be for the two bridges combined? Just some sort of a broad number.
Robert J. Ready: I’ m going to be a little conservative on that [Jim] right now as far, as Scott pointed out, we prefer to unify our direction with the announcement through the New York Port Authority than doing this on our own. It’s not necessarily dollar volume; it’s obviously a comfortable sized order or orders. More importantly to me is a recognition, with two-and a-half years of prototyping through very harsh conditions, have been achieved, others that have tried it have not made the cut. This now opens up, there are a lot of bridges in this country. Certainly this type of product can go beyond just a necrophyte as we call it. Tremendous amount of vibration weather conditions, all of the things that go on. That to me is the biggest part of this announcement rather than the dollar value.
[Jim Stones]: At one point you were doing some trials on the tunnels anything further to talk about on those areas?
Scott D. Ready: I guess I would characterize that to say that they’re still alive and moving forward and will, in following the same pattern, the same process as the bridge process, the bridge product followed. And we are very hopeful at this point that we will be able to participate in a rollout program for one or more bridges in New York City. But we can’t predict exactly when that might happen or assure you that it will happen at this point in time.
[Jim Stones]: Okay very good we’ll watch this stuff roll out. We’ve been waiting for it and it looks like we’re finally going to get some pay days here.
Robert J. Ready: That’s it, I think, I really appreciate your time everybody and our shareholder's meeting is coming up next month. So anybody that might be interested to come to Cincinnati and see and touch this stuff that we’re going to be showing our shareholders in actual product. We’d love to have you. We are very, very comfortable with where we are today. Obviously we would like to see that volume come back and we’re doing everything possible to be sure we achieve those results. With that I want to thank you for your time and hope to see you at the shareholder's meeting on the 20th of November. Thank you.